Operator: Good day, everyone, and welcome to the Ashford Hospitality Trust conference call. Today's call is being recorded. At this time for opening remarks and introductions I would like to turn the call over to Tripp Sullivan.
Tripp Sullivan : Welcome to the Ashford Hospitality Trust conference call to review the company's results for the fourth quarter of 2008. On the call today will be Monty Bennett, Doug Kessler, and David Kimichik. The results, as well as notice of the accessibility of this conference call on a listen-only basis over the Internet, were released yesterday afternoon in a press release that has been covered by the financial media. As we start, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous assumptions, uncertainties, and known or unknown risks which could cause actual results to differ materially from those anticipated. These risk factors are more fully discussed in the section entitled Risk Factors in Ashford's registration statement on Form S3 and other filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules which has been filed on Form 8-K with the SEC on February 26, 2009 and may also be accessed through the company's website at www.AHTREIT.com. Each listener is encouraged to review those reconciliations provided in the earnings release, together with all other information provided in the release. I'll now turn the call over to Monty Bennett. Please go ahead.
Monty Bennett: Good afternoon and thanks for joining us. Our approach to these unprecedented conditions is proactive. The steps we have taken to improve liquidity, enhance covenant compliance, reduce interest expense, stabilize operating margin and lengthen debt maturities will continue. Despite deteriorating industrywide conditions, we are pleased with our efforts and believe several of our strategies set us apart. Our strategies are varied because we know market conditions change. Yet, our discipline is constant in seeking ways to enhance long-term shareholder value. Ashford's advantages in this cycle are we have a diversified portfolio of 103 hotels across many regions of the U.S. that enable our RevPAR to outperform the market by 19% for the full year; 96% of our brand affiliations are with the leading hotel companies, and approximately onethird of our hotel EBITDA comes from select service hotels which historically outperform the upper upscale and luxury properties in a downturn. With one-third of our hotel EBITDA managed by an Ashford affiliate, we have been able to rapidly implement cost-saving measures to support operating margins. The recent restructure of our credit facility provides us with additional flexibility under our covenants. Our lender has approved extending our only debt maturity in 2009 and we have limited debt maturities in 2010 of approximately $104 million. And lastly, the interest rate swap reduces our interest rate to an average cost of 3.35%. Our results for the fourth quarter are in line with the pre-announcement we made in late January. We projected significant year-over-year and sequential important in AFFO and CAD per share despite accelerating declines in RevPAR. AFFO per diluted share for the quarter was $0.36 and CAD per diluted share was $0.28, both of which were up significantly compared with the prior year and with the third quarter. Several key strategies contributed to this bottom line result, including better than industry RevPAR performance, reduced interest expense of nearly $4 million from the swap in the quarter, aggressive asset management and cost cutting to preserve margins, and reduced share count from opportunistic open market and block purchases. For our portfolio, pro forma RevPAR for the hotels not under renovation was down 7.4% compared with the prior year and with the 110 basis point decline in operating margin. ADR was down 2.0% and occupancy was down 388 basis points. Our RevPAR yield index for the quarter was 121.9% compared with 119.8% a year ago for the hotels not under renovation and 120.7% compared with 119.5% for all hotels. Operating margins held up due to proactive steps that we took early and forcefully. The magnitude of this decline could have been worse without the aggressive cost cutting and the asset management plans we put in place with a number of the brands. We continue to pursue cost-saving measures and seek more efficient operations. Our capital allocation strategy is focused on preservation of liquidity and limited share buybacks. We suspended the common stock dividend effective with the fourth quarter of 2008. Although this was a tough decision, we determined it was absolutely necessary to position for the long-term success of Ashford since it was a condition to our credit facility modification. At year end we will assess our need to distribute a 2009 common stock dividend to maintain REIT status. Capital expenditure deployment remains very selective as well. Fortunately, we have consistently spent capital over time on our properties to maintain their high quality and gain market share. Our CapEx plan for 2009 is expected to be close to $117 million. We are having success in our brand [inaudible] postponed certain capital expenditures and PIPs. We believe the balance sheet remains strong, with adequate liquidity. In terms of preserving capital, we believe we have demonstrated a strong commitment to setting aside the funds we will need to get us through a very challenging period. Our corporate unrestricted cash at the end of the quarter was $242 million. We are close to extending our 2009 hard debt maturity into 2010. This would give us just two hard debt maturities in 2010 for about $104 million. We are being proactive in working on extensions for our 2010 and 2011 maturities as well. I can assure you that we are monitoring, responding and re-thinking unprecedented strategies for unprecedented times. As of year end, with management now owning 11.4% of the company, we are very much aligned with our shareholders to create value. Fortunately, our management team is experienced with downturns and unrelenting in our pursuit of solutions. I'd now like to turn the call over to David Kimichik to review our financial results.
David Kimichik: Thanks, Monty. Good afternoon. For the fourth quarter we reported net income to common shareholders of $135.126 million, adjusted EBITDA of $82.591 million, and AFFO of $40.533 million or $0.36 per diluted share. At year end Ashford had total assets of $4.3 billion, including $311 million of cash. We had $2.8 billion of mortgage debt with a blended average interest rate of 3.35%. Including the $1.8 billion interest rate swap, 95% of our debt is now floating. For the quarter, the interest rate swap allowed us to save $3.9 million in interest costs, which resulted in a $10.2 million savings for the year. Since the life of the swap does not match the term of the swap fixed rate debt, for GAAP purposes the swap is not considered an effective hedge. The result of this is that changes in the market value of these instruments must be run through our P&L each quarter as unrealized gains or losses on derivatives. These are non-cash entries that will affect our net income but will be added back for purposes of calculating our AFFO and CAD. And for the fourth quarter this gain was $118.5 million. We believe Ashford is in fine shape regarding the debt on its balance sheet. We're in good standing with our two major financial covenants. Our year end adjusted EBITDA to fixed charges now stands at 1.72 times versus the required minimum of 1.25 times. Ashford's net debt to gross assets is at 57% versus our not to exceed level of 65%. Additionally, Ashford has little refinancing risk in the near future. At year end our portfolio consisted of 103 hotels in continuing operations containing 22,913 rooms. Additionally, we owned a position in 9 mezzanine loans, with total principal outstanding of $232 million with an average annual unleveraged yield of 16.2%. With two notable exceptions representing a combined $23.6 million loan exposure, all of the loans are current. A loan is considered impaired when based on current information it is determined that it is probable it will be unable to collect all amounts due to the contractual terms. The amount of the impairment, if any, is measured by comparing the recorded amount of the loan, the present value of expected future cash flow, or the fair value of the collateral. During the fourth quarter we experienced such an impairment in the amount of $5.5 million. Pro forma hotel operating profit for the entire portfolio was down by $11.3 million or 13% for the quarter. With 96 hotels not under renovation, pro forma hotel operating profit decreased $7.1 million or 8.7%. Our pro forma hotel operating profit margin decreased by 110 basis points for the hotels not under renovation. For the fourth quarter we reported CAD of $31.065 million or $0.28 per diluted share and announced that we were suspending our dividend for 2009 in conjunction with our credit facility modification. I'd now like to turn it over to Doug to discuss our capital allocation strategy.
Doug Kessler: Thanks and good afternoon. Our capital allocation strategy is a balanced view of sources and uses. The primary sources are existing cash on the balance sheet, cash flow from operations, asset sales or mezz loan payoffs, and refinancing proceeds. The main uses of cash are operating expenses, capital expenditures, interest expense, share buybacks, and debt repayment. Fortunately, we're in good shape on the sources and uses of cash. This gives us an opportunity to seek long-term value creation which the excess cash. We evaluate market conditions, assess liquidity needs, and determine the highest and best use of excess cash. In terms of our capital allocation strategy, we were ahead of the game in most respects. We were early in the market with asset sales and finished the year with $437 million in sales, with a trailing 12-month NOI cap rate of 6.6%. We have a number of assets still on the market and in addition oftentimes receive unsolicited interest in our other properties. But we will remain a very disciplined seller. The lack of acquisition financing and ever increasing bid-ask cap rate spreads between buyers and sellers is freezing the transaction market. While liquidity remains a market scarcity, there are pockets of capital for the right deal and borrower. Subsequent to the end of the quarter we completed the $60.8 million refinancing of the Marriott Crystal Gateway with a major life company at a spread of LIBOR plus 400 basis points for three years with two oneyear extensions. The excess proceeds from the refinancing amounted to approximately $12 million. We were proactive as well in working with the lenders in our credit facility to give us more breathing room on our covenants. The facility expires in 2012 after extensions. The changes we agreed to include reducing the fixed charge coverage ratio to 1.25 times until March of 2011, reducing the commitment level from $300 million to $250 million, reducing the maximum leverage ratio from 75% to 65%, and adjusting the grid to a spread of 275 basis points to 350 basis points. We made a few other changes as well, but these were the main provisions. Given the further deterioration in the hotel and banking industries since December, we're very pleased we secured these revisions. At year end we had one hard debt maturity in 2009, a $29 million loan secured by the Hyatt Regency in Dearborn, Michigan. In January the lender agreed to general extension terms for one year to April of 2010. Regarding other near-term hard debt maturities, we have a $75 million loan coming due in March of 2010 which is secured by four Hilton and Embassy Suites hotels. We are already in discussion with the lender and other prospects to either extend or refinance. In 2011 we have $295 million of hard debt maturities. Although this is a couple years out, we are proactive in seeking extensions of this debt with each lender. With only 14% of our total debt coming due in the 2009 to 2011 timeframe, we're in relatively good shape. Given the current and long-term returns, our primary use of excess capital has been share repurchases. We repurchased during the quarter 23.4 million shares of common stock and 1.7 million shares of Series A and D preferred stock. We ended the quarter with 86.6 million common shares outstanding. When added to the 7.4 million Series B convertible preferred shares outstanding and the 14.4 million OP units issued, we ended the quarter with a total share count of 108.4 million, which is a 25% reduction from our maximum share count of 144 million shares. We'll continue to look opportunistically at debt and share repurchases, though we must be sensitive to the need to preserve capital in light of uncertainty in the market. This uncertainty calls for tough, quick decisions and a sound capital allocation strategy. That concludes our prepared remarks and we'll now open it up to any questions you may have.
Operator: Thank you, sir. (Operator Instructions) Your first question comes from Patrick Scholes - Friedman, Billings, Ramsey.
Patrick Scholes - Friedman, Billings, Ramsey: I don't know if you mentioned in your prepared remarks, so far in the first quarter this year have you made any share repurchases?
Monty Bennett: We have made share repurchases. We just haven't disclosed the details of it. But I can tell you that our inclination for share repurchases is more measured than in the fourth quarter. The fourth quarter there was a temporary restriction lifted by the SEC where you could buy more than 25% of your share count on a daily basis which we took advantage of and that doesn't exist anymore. Also our inclination is just to buy shares more slowly.
Patrick Scholes - Friedman, Billings, Ramsey: I wonder if you could shed some light on what your LIBOR expectations are for the remainder of the year and for 2010?
Monty Bennett: My expectation is that LIBOR's going to be low low for quite some time. As I think Fed Chairman Bernanke has - his direct quote is, "for some extended period of time," or something like that. The only fluctuation that may occur is the difference that had the merge between the fed funds rates, which I expect to be low, and LIBOR, which is the perceived health or the opposite of these banks that are out there. And if you noticed, 30-day LIBOR has crept up over the past month or so as the question of the banks has come up. So it might spike here or there as fears about the banks get elevated and then come back down, but generally we expect it to be quite low for some time.
Patrick Scholes - Friedman, Billings, Ramsey: One last question has to do with your fourth quarter results. I saw that other general and administrative was down substantially year-over-year. Is the $2.1 million a fair run rate to use going forward?
David Kimichik: Yes, it's a good number. We're budgeting actually down about 5% for A&G year-over-year, so that's a pretty good number.
Patrick Scholes - Friedman, Billings, Ramsey: And I guess just a little bit more color on the year-over-year dramatic drop off. Was that mostly just a little bit more color on what drove that down.
David Kimichik: We had some accruals that we had throughout the year that didn't materialize, so we just wrote those off.
Doug Kessler: Notice accruals for one.
Operator: Your next question comes from [Andrew Whitman] - Robert W. Baird & Co.
Andrew Whitman - Robert W. Baird & Co.: Doug, I guess a question for you on the swap. Assuming the balance sheet number of $88 million for interest rate derivatives is a majority of that value is for the swap and with the run rate of interest savings being about $16 million a year based on the fourth quarter number, that would assume that it pays itself back in about 5.5 years. Can you just talk about the value of that swap and if you think about unwinding it maybe and how that may relate to the fixed charge covenant test as an offset, as a trade-off?
Monty Bennett: As far as unwinding it, we have no plans to unwind it right now. Having it offset our quarterly results is exactly what it was designed for, not as a hedge, not as a financial instrument play. That's not our specialty.
David Kimichik: Well, I think the overriding question is: Is the number on our balance sheet a good number? And I think the answer is no. I think it's a contrived number that they come up when they try to estimate what the balance is as of the end of the month or the end of the quarter. I think it'd probably be significantly different if you tried to measure it today. And so I don't think you should use that in your equation on the swap.
Andrew Whitman - Robert W. Baird & Co.: So just in terms of materially different, is it half of that number? What kind of orders of magnitude do you think the fair market value of that swap might be today?
David Kimichik: I'm not even going to go there.
Monty Bennett: It has a lot to do with the volatility that's in the marketplace and the volatility has gone up since the end of the year fairly significantly, and so that changes the value and can change the value. And that number is not just the swap; it has to do with the floor and the caps as well. In fact, I think the swap is more than $88 million. The net of the other brings it down a little bit. But it's hard to say exactly what we'd get if we went out there and sold it in the marketplace. Also, it's changing every day as expectations of the yield curve of LIBOR changes. So I think what Kimo's saying is that to sit and look at what the calculation said it was at the end of the year and think that that's what it's worth today, it's just not. It moves around a decent amount.
Andrew Whitman - Robert W. Baird & Co.: And it seems like it's got a purpose in that it's netted against your interest expense for the fixed charge coverage and clearly it's providing some fairly nice cushion in that sense as well.
Monty Bennett: Exactly. And it's netted against interest expense for the fixed charge coverage, although it's not netted against interest expense on our P&L. It's in EBITDA. The benefit's in EBITDA and we record interest as our interest expense.
Andrew Whitman - Robert W. Baird & Co.: And then I just had one other question just on the Extended Stay America loan and basically I was just curious as to what tests it did or did not pass that gave you confidence in the present value of that in the recognition at the tail end that you'll be paid back in full?
Doug Kessler: First I want to point out something that you kind of hinted at, Andrew, that when you go to impair an asset and especially a note receivable, it's not what you'd sell that note in the open market for today. It's not the current market value of it. It's a calculation based upon a number of factors. And in our earnings release and our script we kind of laid that out. We said a loan is impaired when, based upon current information and events, it is probable that we will be unable to collect all amounts recorded as assets on the balance sheet according to the contractual terms of the loan agreement. We don't like to get into individual situations very much. I'll just comment on ESA since it is the largest part of our portfolio. It's being covered. It's being covered through our piece, I think 1.7 times through the end of the year. And with the drop in LIBOR, the coverage still remains. It seems to be pretty strong for us even with the downturn. So to look 2.5 years out and say that it's probable that we won't get paid off, it's just too much of a stretch for us to look that far in advance and say that it's probable it won't get paid off. We do believe very strongly in the value of that portfolio. At our last dollar per key, about $83,000 does exist and the portfolio is worth more than that and will be worth more than that. Now that also doesn't necessarily mean that you're going to get paid off in full, though. But, again, the test is do we think it's probable that we won't get paid off in 2.5 years, and we're just not prepared to say that.
Operator: Your next question comes from Jeffrey Donnelly - Wachovia Capital Markets, LLC.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: I'm not going to doubt, I guess, Bernanke and what his view is on interest rates, but I think the concern is that inevitably you could see some inflation creep into the system and drive long-term rates higher, so does that mean that you'll likely want to keep your debt pegged to the short end of the curve, that the government's plan is to keep, I guess, the right stake and control low?
Monty Bennett: Sure. Good question, Jeff, and we have a lot of discussion internally about that. The concerns of inflation does affect the long end of the curve, but the short end of the curve is governed almost entirely by what the Fed keeps the fed funds rate at and that's what our loan is tied to right now. So for us to have some exposure it would take the Fed to raise rates significantly in order to ward off this inflation and put us potentially in even a deeper recession. And so we just see that as remote, number one. Number two, hotels are a great business that are an inflation hedge. And unlike other real estate types, if there's inflation out there then we'll be the first to benefit with being able to raise room rates and be able to offset that. Now, our peers won't be in the same situation, so in that situation we wouldn't do as well as our peers, but we wouldn't face trouble in meeting debt service and the like because of it. And again, the purpose of this was as a hedge against RevPAR, not as a financial instrument play. And lastly, we do have caps on it. We have caps on the fully $1.8 billion through, I think, October of this year and then caps on half of it for another couple of years, and then after that we're exposed. And we're constantly looking at the cost of putting caps on the rest of that $1.8 billion, what's outstanding in the future years. And we're just weighing it against when is the best time to do that. So we do look at it. It is something that we want to monitor closely. But at least right now would like to start to see the Fed start to move or something start to happen before we went out there and buy those caps, because they can be expensive. We just think the greater risk right now to the industry is further deterioration of RevPAR and so that's what we're focused on. And at some point in time that'll shift, though, and our greater risk that we perceive will be related to interest rates.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: I would assume not just for Ashford but effectively for your investment in Extended Stay as well because LIBOR's clearly helping them. I guess in that vein, just to clarify something you'd said earlier, was the 1.7 times cash flow coverage you mentioned specific to your tranche, Tranche 6, and was that cash flow coverage for your forecast for 2009 or trailing in 2008?
David Kimichik: That's trailing and that's through our piece.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: And then are you able to share with us any details specific to Extended Stay and maybe what the move was maybe in their EBITDA or what the debt service is that's in Tranches 7 through 10 north of you guys?
Monty Bennett: We'd rather not get into all those details. I think the only comment is that it seems some of the more subordinate pieces are concerned about their ability to get repaid and are wanting to talk to the other lenders about what to do about it. But other than that, really nothing is going to be done until some of those subordinate pieces can't get paid. Then we'll see what they do.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: And I can't remember if you disclosed it before, but does Ashford effectively control Tranche 6 or do you have partners in that? Can you name them?
Doug Kessler: We do not control the mezz 6 tranche. There are other participants in that tranche, as there are in many of the tranches, and we believe that some of that is still held by financial institutions that originated that debt.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: Just a few other questions, actually, just to wrap up on some margins and mortgages. I'm not asking for guidance in 2009, but I am curious just in your perspective and how you're thinking about managing EBITDA margins. Some of your competitors are strongly convinced that margin declines can be contained to, call it, roughly 250 basis points under nearly every almost RevPAR scenario, whereas other seem to feel it's much of a range, much more fluid. Which camp do you tend to fall into? Is it possible to have the agility to manage margin deterioration so finely when visibility's poor and revenues are so volatile day to day?
Doug Kessler: Good question. It's much easier to control margins with Remington, our affiliated manager, than it is with other third parties and especially the brands, so that has an impact on it. But no, we don't think that one can hold the margins to 250 regardless of revenues. The more revenues drop, the more margins are going to drop, and we think that for our portfolio, if revenues are down 10% to 15%, say, then margin drop off could be anywhere between 350 to 550 bips.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: And just on mortgages, for the $55 million mortgage that's due in 2010 on the JW Marriott in San Francisco, I think you said extensions are available if certain coverage tests are met. Where is coverage and I guess where do you need to be?
Monty Bennett: We don't even have those here in front of us, Jeff, and I probably wouldn't want to get into that level of detail if we did. Suffice to say that Doug is spearheading our refinancing efforts and he's all over it to make sure that our maturities in '09, 2010 and 2011 are adequately covered.
Jeffrey Donnelly - Wachovia Capital Markets, LLC: You've refinanced the Gateway Marriott in D.C. Does that new loan carry any resource to Ashford and how are you thinking about accelerating that maturity versus maximizing proceeds?
Monty Bennett: That old loan was a situation where it was effectively a cash trap, and so in order to get cash out of it we wanted to refinance it. We [inaudible] more proceeds. And it is not resource and that's a very important provision to us, is to maintain our loans at non-resource. Almost all of our loans are nonrecourse. I think there's just one loan - the JW Marriott's got a partial recourse that burns off at some levels, but I think it's like 20% of that balance, so that's important to us to maintain.
Operator: Your next question comes from Mike Salinsky - RBC Capital Markets.
Mike Salinsky - RBC Capital Markets: Just with the Extended Stay America, the Four Seasons, both of those are current on payments, correct?
Monty Bennett: Which properties?
Mike Salinsky - RBC Capital Markets: You mentioned you had the write-off during the quarter and then you had the Extended Stay and the Four Seasons Nevis properties, which you'd mentioned before they were having issues. Both of those are current on payments, correct?
Monty Bennett: The two loans that are not current on payments are the Westin loans and the Nevis loan. Everything else is current.
Mike Salinsky - RBC Capital Markets: And the Nevis one is - it's being covered by insurance, correct?
Monty Bennett: Well, hopefully. The way we calculate the claim and the business interruption insurance is that we think that ultimately the insurance company should pay us off. But I say that hesitantly because there's just a lot of work to get there, so we don't book it in anticipation of it happening. I should say that we hope it'll happen, but if someone's not paying we don't book it as an accrual until it comes in. So those two aren't paying, so they're not being booked.
Mike Salinsky - RBC Capital Markets: And there's no concerns about any of the other mezz notes, correct?
Monty Bennett: There's concerns about every mezz note. It's a tough market out there. But so far so good.
Mike Salinsky - RBC Capital Markets: Second, in terms of dispositions, I know you guys mentioned you're out there marketing additional ones. Do you expect to close on some transactions this year or are spreads just too far apart at this point?
Monty Bennett: We don't expect to close on any transaction anytime soon. Whether we can close on some later in the year, time will tell. We hope so. And spreads are very far apart.
Mike Salinsky - RBC Capital Markets: In the fourth quarter you had very good margin controls and you implemented a lot of cost controls in the third and fourth quarter there. How much more is there left to wring out on the expense side?
Monty Bennett: I'm not sure how to answer that exactly, but we are doing as much as we can and working with Remington and the other managers to constantly cut back. At one point every cost is variable at certain levels, and so we're trying to be very, very proactive to do that. Again, we have better luck with Remington and with our independent managers than with the brands, although to give those brands credit they're being as flexible, I think, as they've ever been in cutting back on costs. So in other words, I think in the quarter we were down 8.8% for all of our hotels in RevPAR and the industry continues to get worse, or so it seems. If RevPAR's below that, we would anticipate to have more cuts, but they are harder coming, no question.
Mike Salinsky - RBC Capital Markets: In the press release also you talked about CapEx above and beyond your reserves. What do you expect for total CapEx including reserves in 2009?
Monty Bennett: Including reserves, our CapEx plan for 2009 is $117 million, but if you're putting that in for your model be careful because our 2009 plan is spent in 2009 and 2010 because of carryovers. So it's a decent amount of CapEx, but I think the most important figure is that one that was in our release that talks about the amount of cash out of pocket for 2009, which is that $37.8 million is what we anticipate. And again, that's part of '08 hangover plans and '09 plans.
Mike Salinsky - RBC Capital Markets: Then finally, since it's almost the end of February here this isn't forward looking, what were the trends in January and February across the portfolio? What benefit did you see from the inauguration in D.C.?
Monty Bennett: It's tough out there in January and February. Clearly, we got a benefit for the inauguration in D.C. We've got a few D.C. assets, and so I think fared well in January. We're not giving any specific information on performance of January and February, although we are considering whether to give a pre-release for the first quarter in the first part of April as we did in the fourth quarter. We haven't made that decision for sure yet, but we are considering it.
Tripp Sullivan: Is the moderator still on the phone? [Mitch], you still on the phone?
William Truelove - UBS: I can barely hear the moderator, but I think he's asking for me, Will Truelove. All our questions have been answered. Thanks.
Tripp Sullivan: Okay, thanks, Will. And we can't hear the moderator at all here. Well, since we can't hear the moderator, we'll just conclude the call, but if you guys have questions then, as usual, please feel free to call us and we'll do the best that we can to address them. So thank you guys for participating on today's call and we look forward to speaking to you on our next call.
Operator: Ladies and gentlemen, this does concludes the Ashford Hospitality Trust conference call. You may now disconnect and thank you for using ACT Conferencing.